Operator: Ladies and gentlemen, welcome to the Big Lots Second Quarter 2016 Teleconference. This call is being recorded. [Operator Instructions] At this time, I would like to introduce today's first speaker, Andy Regrut, Vice President of Investor Relations.
Andy Regrut: Thanks, Matt, and good morning, everyone. Thank you for joining us for our second quarter conference call. With me here today in Columbus are David Campisi, our CEO and President; and Tim Johnson, Executive Vice President, Chief Administrative Officer and Chief Financial Officer. Before we get started, a couple of housekeeping items. First, I'd like to remind you that any forward-looking statements we make on today's call involve risks and uncertainties and are subject to our safe harbor provisions as stated in our press release and our SEC filings, and that actual results can differ materially from those described in our forward-looking statements. All commentary today is focused on adjusted non-GAAP results from continuing operations. For the second quarter of fiscal 2016, this excludes an after-tax expense of $646,000 or $0.01 per diluted share associated with legacy pension plans, which have been terminated. Once again this quarter, the Q2 expense is not material. However, as previously disclosed, we expect this process to take multiple quarters and result in an after-tax expense of approximately $15 million in total, with the majority of the expense occurring in Q4 2016 or fiscal 2017. Our future result and guidance will also be presented on a non-GAAP basis to be consistent in isolating pension cost. Reconciliations of GAAP to non-GAAP adjusted earnings are available in today's press release. Second, on our last call, we mentioned a possible investor analyst conference in the fall. We're moving our event to 2017. As we work through the SPP for the next 3 years, it became clear additional time would be necessary to further evolve our thinking around branding and Jennifer shopping experience. I'll pass along additional details, including a save-the-date email as they become available. But for now, think 2017 instead of fall 2016. This morning, David will start the call with a few opening comments. T.J. will review the financial highlights from the quarter and the outlook for fiscal 2016. And David will complete our prepared remarks before taking your questions. With that, I'll now turn the call over to David.
David Campisi: Thanks, Andy, and good morning, everyone. Amidst what continues to be a choppy retail environment, I'm pleased we were able to deliver on our financial commitments and achieve our 10th consecutive quarter of positive comps. We managed the business well, margins were strong, inventories are current and fresh for the fall season, and our adjusted earnings per share were at record levels in Q2. From a merchandising perspective, our ownable and winnable categories produced the best sales results. Furniture was once again the top performer in Q2, up high-single digits as upholstery, mattresses, and casegoods comped the comp. Congratulations to Martha, Robert, and the Furniture team for another very strong quarter. We completed our expansion of the bigger, better Furniture Department in May, adding selling square footage to this ownable category. This was a significant milestone for the company as we were able to enhance our merchandise assortment and improve the presentation with accent pieces and lifestyle photography, all with a single goal of improving the overall shopping experience for Jennifer. Soft Home was up mid-single digits with strength in fashion bedding, decorative textiles, and area rugs. Good job by Martha, Kevin, and the team as they continue to comp the comp. Our merchandise assortments are benefiting from the disciplines of QBFV or quality, brand, fashion, and value. And the team has begun to focus on increasing the attachment rate of Soft Home to Furniture. Hopefully, you've noticed an increased amount of cross-merchandising in our Soft Home and Furniture areas. We know from our customer research, Jennifer looks to us for confidence in putting together looks and matching styles and colors, again another way we can improve our overall shopping experience in our stores. Next is Seasonal, a key ownable business for Big Lots. Our Seasonal assortment was very good early this season as Michelle, Steve, and their team did an excellent job of elevating the quality and delivering trend-right product this spring. In fact, the single biggest challenge we had was selling out too early and at full ticket, a great problem to have. For Q2, as expected, Seasonal comps were flat to slightly down as lawn & garden and summer inventory levels were below plan in key classifications for most of June and July. Also in Seasonal, our performance in toys was better than planned. Our inventory productivity was up significantly on less space in Q2 in the spring season, a potential good sign as we head into fall. Food and Consumables were each down slightly for the quarter, not at all where we want to be or believe we should be. A portion of the decline is timing of closeouts, particularly in Consumables. But frankly, we have to look at ourselves first and control what we can control. We can control content and value. We made several important people changes, particularly in Food, and I am confident that Michelle, Debbie, Meagan and their team will improve our merchandise content and sales trends throughout the fall season. Rounding out the rest of the store, both our Electronics and Hard Home businesses were off to last year, which is to be expected given the amount of space they have given up over the past 2 years to increase our Furniture and Soft Home businesses. Debbie, Bob, and their teams have embraced one team, one goal, and added their assortments by 20% to 30%, resulting in improved inventory, productivity, and turnover. Moving on to marketing and our online initiatives. Q2 reflects our first full quarter of sales activity from e-commerce. Congratulations to Andy, Stu, Carlos and the entire team on this start-up. It is very early in our evolution, and we're still crawling. Online assortments have been gradually expanding, up from initial 3,000 SKUs to approximately 3,500 today as we deliver new Seasonal products and prepare for the holiday. We have learned a great deal about what Jennifer likes and does not like. She loves our ownable businesses online but is not as interested in our convenience businesses. She looks for value and savings, whether it's temporary promos or clearance. Shipping cost and promotions are important to her, particularly on some of our larger, bulkier products. And while it is early, our Jennifers who shop both in store and online, have been much more active than one who is exclusively a brick-and-mortar customer. Still early, still learning, and looking forward to understanding our first holiday online as a company. I am pleased in our in-store presentations continue to improve. Our presentation team has been working cross functionally with the store operations organization and the B prime teams to help Jennifer see a vision in decorating. Lifestyle photography featuring all Big Lots product and color-coordinated ensembles have been added as artwork to our stores to show Jennifer solutions from multiple merchandise categories. Many Furniture vignettes incorporating upholstery items, occasional tables, area rugs, and decorative tools are now in-store and showcasing our harmonized assortments, similar to mannequins in a clothing store. From a stores perspective, Mike, Nick and the team were instrumental in completing the bigger, better Furniture Department. They literally were responsible for the heavy lifting, and I appreciate their support and dedication. They've also continued their intense focus on leveraging the tools of the store revolution with new insights from automated labor scheduling and dock to stock. Our mobile dashboard will be on all stores before the holidays with each store team leader monitoring performance through a robust interactive app on an iPad. Our stores and field organization have a powerful tool to inspect what they expect. Also during the quarter, Paul led a cross-functional effort, working with Nick and the team to complete the rollout of our private-label credit card. We now have two financing options for Jennifer as she looks to big-ticket purchases in our ownable and winnable categories. We remain encouraged by our results with both Easy Leasing in its third year and with the early response to our private-label credit card. I'm only touching the surface on all the good work being executed by the team. But hopefully, you get the feel for just how much was accomplished during Q2 to better position us for the holiday and the future. And with that, I'll turn the call over to T.J. for some additional color on the numbers.
Tim Johnson: Thanks, David, and good morning, everyone. Net sales from continuing operations for the second quarter of fiscal 2016 were $1.203 billion, a slight decrease from the $1.21 billion we reported last year as our comparable store sales increase was offset by a slightly lower store count year-over-year. Comparable store sales for stores opened at least 15 months plus e-commerce sales increased 0.3%, which is in line with our guidance of flattish to plus 2%, and represents the third year in a row of a compounded comp in Q2. As we communicated on our last call, we knew Q2 would be softer than Q1 from a comp perspective given the excellent sell-through of Seasonal in the early spring, meaning lower-than-planned inventories available on Q2. We are very clear where our upside sales opportunities are for Q2 of next year. Adjusted income from continuing operations for the second quarter was $23.4 million or $0.52 per diluted share, which compares to our guidance of $0.42 to $0.47 per diluted share. This record result represents a 27% increase over last year's adjusted income from continuing operations of $21.1 million or $0.41 per diluted share. As a reminder, this year's results include 2 new significant costs: PSUs and e-commerce, the net impact of which was approximately $0.10 to the quarter. So apples-to-apples, EPS from our core retail operations was approximately $0.62 against $0.41, a 50% increase, once again demonstrating the earnings potential of our model. The gross margin rate in Q2 was 40.4%, 110 basis point improvement over last year's Q2 rate. I'm quite pleased with our gross margin improvement, which resulted from several different factors: first, our strong sell-through of Seasonal product resulted in a lower markdown rate and gave us significant promotional flexibility during the quarter; second, our merchants continue to improve the QBFV of our assortments while also improving costs and IMU; and third, Carlos and the global logistics team have improved our overall cost of transportation and worked with our supplier partners in a challenged environment to improve our shipping rates, productivity and overall timeliness of deliveries. Total adjusted expense dollars were $446 million, and the adjusted expense rate of 37.1% was approximately 70 basis points higher than last year. No big surprise here. Our overall expense dollars did flex below plan as comps were closer to the lower end of guidance. I think it's critical to understand that excluding the 2 new P&L items, e-comm and PSUs, the expense rate was only slightly above last year on a plus 0.3% comp with slight deleverage resulting from incremental severance and legal settlement-related cost. So very good expense performance for the quarter. Interest expense was $1.5 million compared to $1 million last year, and this year's adjusted effective income tax rate was 38.7% compared to 36.9% a year ago. Moving on to the balance sheet. Inventory ended the second quarter of fiscal 2016 at $809 million compared to $821 million last year, a 1.5% reduction as inventory levels per store were essentially flat compared with the -- combined with the lower overall store count year-over-year. During Q2, we closed four stores and opened one, leaving us with 1,445 stores and total selling square footage of 31.7 million. Capital expenditures for second quarter of 2016 were $26.4 million compared to $37.3 million last year, and depreciation expense was $30.8 million, a decrease of approximately $200,000 to last year. Our CapEx decrease was planned and is the result of higher activity last year in the form of our point-of-sale refresh, completion of the cooler freezer rollout and investments we were making to develop our e-comm site. As a reminder, we completed our 2016 share repurchase program in the month of May. In total, we invested $250 million to repurchase 5.6 million shares or approximately 11% of the outstanding float at an average price of $44.72 or approximately 15% below our closing price yesterday. And as announced in a separate press earlier today, on August 25, 2016, our Board of Directors declared a quarterly cash dividend of $0.21 per common share. This dividend payment of approximately $9 million is payable on September 23, 2016, to shareholders of record as of the close of business on September 9, 2016. The combination of share repurchase activity and our quarterly dividend payments represented approximately $270 million returned to shareholders during the first half of 2016. We ended the quarter with $58 million of cash and cash equivalents and $258 million of borrowings under our credit facility. This compared to $57 million of cash and cash equivalents and $223 million of borrowings under our credit facility last year. Our increase in debt year-over-year is directly attributed to higher levels of share repurchase activity this year. Turning to forward guidance. For Q3, we expect results from continuing operations to be in the range of an adjusted loss of $0.04 per share to adjusted income of $0.01 per diluted share. Our guidance assumes an 11th consecutive quarter of positive comps in the range of flattish to an increase of 2%, which is on top of a 2.6% increase for the same period last year. The gross margin rate for third quarter is expected to be higher than last year, and expenses as a percent of sale are also expected to be higher than last year. For Q4, we are forecasted adjusted income from continuing operations to be in the range of $2.18 to $2.23 per diluted share, an 8% to 11% increase compared to last year's income from continuing operations of $2.01 per diluted share. This guidance is based on comparable store sales in the range of flattish to plus 2%. The gross margin rate for the fourth quarter is expected to be slightly higher, and adjusted expenses as a percent of sales are also expected to be slightly higher than last year. To reiterate, the adjusted expense rate in both Q3 and Q4 will continue to be impacted by our two new P&L items, e-comm and PSUs. Excluding those items, we would expect to leverage expenses on our core retail operations on a slightly positive comp. In terms of our full -- our outlook for the full year, we have increased our estimate for adjusted income from continuing operations to be in the range of $3.45 to $3.55 per diluted share compared to prior guidance of $3.35 to $3.50 per diluted share. The increase is reflective of our better-than-expected Q2 results and the Q3 and Q4 estimates we are introducing today. This level of earnings would represent a 15% to 18% increase in EPS compared to $3.01 per diluted share last year. The annual guidance is based on comparable store sales increase in the 1% to 2% range and total sales up slightly to last year's as comps will be partially offset by a lower store count. We estimate this financial performance will result in cash flow of approximately $210 million. So with that, I'll turn the call back over to David.
David Campisi: Thanks, T.J. Before we open the line for questions, I want to share a few thoughts in closing. Q2 was a solid quarter for our team. Despite a difficult retail environment, we delivered on our financial commitments and did what we said we were going to do. It was just three short years ago, when on this same August call, we introduced you to Jennifer and began to talk about our SPP and how we are going to refocus and reposition Big Lots for the future. There were some who were skeptical, both investors and some of our own team, but I believe we have remained steadfast and consistent in our approach and execution of the strategy over the last 3 years. And all 3 pillars of our strategy, Jennifer, our associates and you, our shareholders, appear to be recognizing and rewarding us for our efforts. Q2 is just another example of what I am referring to. From a Jennifer's perspective, she continued to reward us for efforts on our ownable, winnable categories of Furniture, Soft Home and Seasonal. She showed us other areas where we need to improve. She has responded very well to early fall assortments in Furniture and Soft Home for back-to-campus first apartment. And she loves what the team has offered in our early fall season, practically in Halloween. And when she sees the beautiful Christmas trim and how well Lisa, Michelle and Martha worked it in with our Soft Home business, I am confident she will reward us at the register, and hopefully, tell all her friends about the new Big Lots. From an associate’s perspective, for the third consecutive year, we recently completed our culture assessment survey of our associates to measure our progress and learn new ways to improve our company and our culture. The team's participation and engagement on the survey was off the charts again this year, topping last year's record response and well above retail norms. Our engagement scores continue to rise as a company, and we believe our company's culture has never been stronger. I truly appreciate the candor and transparency from the team. Their honest and direct feedback allows our leadership team to improve the company with the goal of making Big Lots an employer of choice. And I also want to give a shout out to the Big Lots Foundation. We launched the foundation last year with the goal of strengthening the company's philanthropic initiatives and making a difference in the communities where we operate. The progress to date has been widely successful by any measure and far exceeded my expectations, both in terms of dollars raised and volunteer hours from our team of associates. Great work, and we are only just getting started. More great things to come soon. And the last pillar, our shareholders. We have become our more consistent, predictable business. We have delivered upon our financial guidance each and every quarter. We have returned excess cash to you through our dividend program and our share repurchase efforts, which we believe add value and in turn, for our long-term shareholders, we believe we have provided very good financial returns for you over the last 3 years. We appreciate your support and patience that we've made. And we'll continue to make the structural changes necessary to be relevant over the long term. As we enter the fall and holiday selling season, it always comes down to one thing, execution, which is all about our people. We have worked very hard to create an environment at Big that attracts, engages and develops the best and brightest talent in the industry. We are one team with one goal. And I want to thank our associates in the stores, the field organization, our distribution centers and here in Columbus, the general office, for dedication, passion and focus to continue to deliver strong results. It's not business as usual at Big Lots, and I've never been more proud of our team of over 35,000 associates across the country. And with that, I'll turn the call back over to Andy.
Andy Regrut: Thanks, David. Matt, will you please open the lines for questions at this time?
Operator: [Operator Instructions] And we will take our first question from Peter Keith with Piper Jaffray.
Peter Keith: You had mentioned at the beginning of the script, a choppy retail environment and that's certainly a characterization we've heard throughout this retail earnings season. But I was wondering if you could address the competitive environment and if you're starting to see any different competitive behavior across your various categories.
David Campisi: Let me take that. Thanks, Peter. It's David. It's a good question. I mean, we talk about the competitive set all the time. In fact, we spent -- Lisa covered that yesterday in our board meeting. And I always talk about share of wallet. In a discount space, obviously, we compete with everybody, whether it's the big guys or the dollar stores, so we haven't really seen anything that's irrational out there from a pricing point of view. And as you guys know, food is not 50% of our business like many of our competitors, so we don't have as much of an impact when you talk about food deflation and so on, so we pay attention. We spend a lot of time on our competitor stores, heavily focused primarily on -- when you look at our food business, we obviously have a differentiation there on pricing because of the closeout piece of that business as well as Consumables. But when it comes to our ownable, winnable categories, a lot of those categories we have to go into a different space, regional, local type of Furniture stores, and so we pay a lot of attention and we're aware of it, but I wouldn't say we've seen anything that we would be concerned about.
Operator: We will now hear from Brian Nagel with Oppenheimer.
Brian Nagel: My question, it's relatively simple. I mean, we talk a lot about seasonal sales and including, you talked about in this call and last call. So can we better quantify the impact of the seasonal shift from -- I guess, the best way to say this is how much sales -- what share of sales were maybe caught early in Q1 that impacted Q2? So we can get a better run -- better idea of the underlying run rate of the business.
Tim Johnson: Sure, Brian. This is T.J. I guess, a point of clarification, we actually see this as an opportunity next year. It's not something that we did internally to shift the calendar or move sales between quarters. We had the luxury of Jennifer really, really liked what we had to offer in first quarter. And we sold through quicker than we would have anticipated and at full ticket. So Michelle, Steve, and their teams did an excellent job, and we're really encouraged about the opportunity going into next spring season. If you're looking at trying to quantify it, I guess, maybe the easiest way for you to kind of think about it would be we posted roughly a 6% comp in first quarter of this year. I think we said in our prepared remarks, seasonal sales were flat to slightly down in the quarter here in second quarter. Seasonal is roughly 15% of our business, maybe slightly higher in the first quarter in spring season. So if you just try to extrapolate that on the total company, you come up with roughly a point of comp, if not a little bit more. That's the best you're going to be able to do, Brian. I think from our perspective though, we're very encouraged not only about what happened in first quarter and the margin upside, it gave us second quarter. But as we look at the fall season and some of those same disciplines that the teams have implemented around QBFV have us really excited about the early Halloween selling. Again, Halloween's a small business for us, but it's another data point, and we're confident after walking the fog [ph] studio with the teams, and we had our regional teams, and recently, they're really excited about the trim business and the back half of the year Christmas trim, and how cohesive it is with the rest of the store and with Soft Home. So hopefully, that helps answer your question, Brian, from a number standpoint. But I think it's as important to understand, it's part of the process that we use. And hopefully, we’re just continuing on into the fall season and the spring opportunities next year.
Operator: Our next participant is Alvin Concepcion with Citi Research.
Alvin Concepcion: Just a question on Furniture. Very good comps there and clearly a positive standout. So I just wanted to dive into that a little bit. I'm wondering how much the footprint expansion helped comps at all, and also if there was much of a benefit from the private-label credit card or increased penetration in Easy Leasing?
David Campisi: Alvin, it's David. It's a good question and somewhat hard to quantify as far as the expansion of footage, but I would tell you that all three of those pieces, along with incredible improvement in product offerings and also the effort by the stores, both in the stores and the merchants to create this new environment that showcases vignettes with area rugs. It's the first time in the company's history we actually merchandised that way. And to be real specific, when we merchandised literally this one particular area rug, that's $159, I think, and our usually average ticket on area rugs is like $40, right? So that area rug at $159 has become our Number 1 best-selling rug in the company ever since we put that on the floor and displayed it with our Furniture. So we're seeing some real fantastic behavior by Jennifer. And we think that those incremental purchases, where she's buying a sofa and then she is putting an item like that in the basket at that literally four times our normal ticket is -- has really made a significant improvement is also hoping -- helping Soft Home area. But back to your question on Easy Leasing. We continue to grow that part of the business in Furniture, and then it's very early on the private-label credit card. But without a doubt, that is adding to the improved comp store sales. And again, I would throw one other thing out there. We work very hard as a company and continue to work very hard at training and developing our sales -- our Furniture team leads. And it's paying off in dividends.
Tim Johnson: Alvin, it's T.J. Just a couple of additional data points for fun because they're really, really good. Furniture comps for the quarter, I think we mentioned on our prepared comments, were up high single digits. They're up 7% for the quarter with the two key categories of upholstery and mattresses. And I say key only because they're higher volume. We're actually up higher than 7%. So that's a really good sign for us as we move into the back half of the year. Second thing I would tell you is the 7% is on top of a 9% last year and on top of an 8% in the prior year and on top of a 3% in the prior year. So that's really multiple years' worth of compounded growth within the Furniture area. And there's just so much activity going on there through the KRA process that Martha leads for the team, that it is difficult to bifurcate how much each one of those initiatives are providing to us. I am encouraged by the Big Lots credit card program from the perspective of that was a very controlled test. And we had very specific goals by store and expectations by store. And in the early results, we are actually exceeding our expectations from an application standpoint and from a dollar penetration standpoint. So again, another good data point for us as we look at the fall season. And the last thing I would say is just to expand on David's comments. I know there's a little bit of trepidation in terms of are we continuing to grow the Easy Leasing program? The answer is we are absolutely growing the Easy Leasing program with Progressive. They've been a great partner. They continue to invest in our business. We're continuing to test new ways of trying to increase the number of places, or points as they call them, that Jennifer can apply to make it easier at point of checkout. So really, all cylinders are working at this point in trying to grow this ownable category. Clearly, it's a differentiator for us and especially in a time where, as David mentioned, there is a little bit of choppiness out there in the Food and Consumables world at other retailers and certainly, us being more differentiated from a product assortment than a dollar store or big-box retailer certainly, it was a big, big benefit for us in the second quarter. And we expect that will continue through the fall season.
Operator: We will now hear from Patrick McKeever from MKM Partners.
Patrick McKeever: So on the -- just on the kind of the topic of the day, at least yesterday, the cutbacks in food stamp, the food stamp programs in 20 states and the impact that, that had at least on one of the dollar stores. That's an area that is fairly new still to Big Lots, SNAP. So I was wondering if you saw any change there in those states that did have the cutbacks relative to the rest of your store base and if that played into -- if you think that played into the weaker performance in Food and Consumables in the quarter.
Tim Johnson: Patrick, it's T.J. I'll start. I'm sure David has a strong point of view here, too. I think, again, big, big picture for us. As you mentioned, SNAP and EBT and coolers are still relatively new. Even though we've now anniversaried that program, it's still a small part of our business, somewhat of a defensive move to try to encourage traffic, but still very, very small relative to overall total. So from our perspective, again, being more differentiated than some of the other retailers you mentioned and having a focus on our ownable and winnable categories that are working, particularly in the discretionary categories of Furniture, Soft Home and Seasonal, clearly differentiates us from those you just mentioned. And hopefully, we'll start at some point to help investors and others understand that we really are not a dollar store. We sell some similar product, but it's a much smaller penetration for us. So we're not seeing the same kind of impact from reductions like that, that you mentioned. I would suggest something slightly different that if we're seeing any kind of variation in performance by region or by state, it is likely more due to their inventory position on seasonal and household through they are or not in some of the weather conditions that they might have had early or even recently with some of the unfortunate situations down in the Southeast with rain and et cetera. So much different conversation at Big Lots than probably what you heard yesterday.
David Campisi: And Patrick, it's David. The only comment I would have for you on that is in keeping with full transparency, as we do at Big Lots, is the -- I would say, the small decrease in food. It was all about execution and when I say execution, our stores that self-inflicted decisions that were being made from a merchandising point of view, and that's why we course corrected and made some big bold changes over there and with people. And I can't tell you how excited I am. I'm probably more excited today than I've ever been about the changes we made there with people. And we will be back with momentum with positive comps in both Food and Consumables as we move into the back half of the year.
Patrick McKeever: Okay, got it. And then just -- I know there was some concern out there about some of the promotional coupons that were going out toward the end of the quarter. Spend $40, get certain amount off and so on, and so forth. Could you address that? And is that what you were referring to, T.J., when you talked about some of the flexibility that you had because of the strong -- on the promotional front just because of the strong early sell-through of Seasonal?
Tim Johnson: Absolutely, Patrick. I appreciate you picking up on that. That was intentional in our prepared comments because one of the -- I mean, there's a number of very positives in the quarter. But clearly, one of the biggest was the opportunity from an inventory perspective since things were so well managed by Lisa and Martha and Michelle and Craig and the entire BPARM teams did such a great job of managing inventory, particularly in our seasonal categories. We were actually able to take some early marks on some product from third quarter into second quarter to try to again continue to stay fresh. And we were also able to do some things from a promotional standpoint that replaced some of the clearance volume that we might have done last year. So again, we're very intentional with what we do with our buy more, save more coupons. Jennifer loves them, both in store and online. It supports that big, big Furniture and Seasonal and Soft Home business. Even when you do the math, the markdown rate that we ultimately end up incurring is not a whole lot different than what the company incurs on a week-to-week, month-to-month basis anyway. It's just a different angle. It's a different way to try to encourage a bigger basket when traffic has been challenged across retail, not just the Big Lots but across retail. So it's absolutely part of the equation in second quarter. That's why we had the flexibility. Additionally, as we've come in the third quarter, I think there was also a comment about a similar coupon that ran in the month of August. That actually replaced the net circular from the prior year. So we dropped the net circular in the month of August because we have confidence that from a response to coupon and promotional news, ownable, winnable businesses, we didn't have to run the ad that we ran last year that, candidly wasn't as successful. So good for us, good for our stores, good for our distribution centers. They didn't have to focus on getting an ad out in the month of August and allowed them to focus on running their businesses. So in all of those things, Patrick, you know from following us for a long, long time, we test a lot. We test a lot of different options, and running some of these coupon events is something we've tested. And she responds sometimes better that type of a vehicle than an app. So good for us.
Operator: Our next question comes from Brad Thomas with KeyBanc Capital Markets.
Brad Thomas: Congratulations on a strong first half of the year here. If I could squeeze in two, T.J., I was hoping you could talk a little bit about the outlook for gross margin in the second half of the year. And David, I was wondering if you could comment a bit more on Food and Consumables and what we should expect to see from a merchandising standpoint that you think gives you more confidence that the category will improve in the second half.
Tim Johnson: Sure, Brad. I'll take the first part of the question there. From a gross margin standpoint, again, it starts with inventory management, having good plans upfront, and we believe we have those. Those are based on strategy and the SPP. So all of that, hopefully, you've gotten comfortable with. There's a lot of good processing and governance around that. And then execution within the quarter, obviously, very good performance in some of our markdown-sensitive categories. We see no reason why that shouldn't continue into the fall based on early reads. So that gives us the confidence to say that margins will be up in third quarter and slightly up in fourth quarter. Additionally, we have good view into product costing. All of our goods from an import standpoint are placed obviously for the back half of the year, so we have a good idea of where our IMU will land. That's a net positive. And then we're a large, large importer of products. Brad, as you know, roughly 25% of our business is delivered on an import basis. So Carlos and Mike and Bob and the team did a great job of negotiating rates in an environment that's still kind of choppy globally. So we've got a big pencil, and that certainly helped and with -- partnered with our supplier partners overseas to make sure that we get good service as well to keep things timely for stores. So I see no reason why those trends shouldn't continue into the back half of the year. Q2, clearly, we're not forecasting today the kind of 110 basis points of improvement in the back half of the year that we saw in Q2. Obviously, that was much, much better than we would have anticipated. But I see no reason why the gross margin improvement shouldn't continue into the back half of the year.
David Campisi: Okay, I guess, my turn. So Brad, I'll take on the Food and Consumables question. Yes, I think you asked me what gives me confidence in the back half of the year and how we are going to get that business back in the positive comp range. Well, first thing I would tell you is, I think, I said earlier that our problems in Q2 clearly were not had -- really, we don't think it was external at all. It was clearly internal, self-inflicted, some real misses that I tried to say on the prepared remarks. Candidly, they were unacceptable. And the things that happened won't happen again because we have a team in place now with this reorg that understands how to look at the business in detail. And as I always like to say, inspect what you expect. And in some of the categories, we just literally had some misses. Along with that, candidly, we had some changes at the buyer level and some folks were doing a lot of work that was probably two times the amount that they should have been doing. So we've course corrected all of that and they’re deep into the details. And we think with that, the lack of closeouts that -- some of those closeouts, candidly, were just pure misses on our part. So we've made some big buys in both Food and Consumables that we're excited about as we move into September. And we believe, with the team in place now looking at the details, we'll also see significant improvement in our NVO assortment and inventory. So that being said, I'm steadfast. I'm believing this is all about having the right people and we put that in place. And I'm extremely confident in the team with Lisa's leadership and Michelle that we will get this thing moving in the right direction very quickly. And we're already starting to see some of that just recently.
Operator: Our next participant is David Mann with Johnson Rice.
David Mann: Yes. Thank you. Let me add my congratulations. Question in general on traffic. I guess, you've had the counters in place for over a year, so just any comments you -- initial insights you can have on your traffic trends. And just whether -- what do you think the implications have been for traffic given the trends you've seen in Food and Consumables over the last quarter or two? Thank you.
Tim Johnson: David, it's T.J. I'll start. The traffic piece, you are correct. We've got counters in place for over a year now. So we understand where we are from a traffic perspective this year to last year, by store, by district, by region across the country. And we also understand where the national traffic trends are. That information is provided to us as well. So we look at it with that lens and understand it. In most weeks and months, our traffic is down. But it's down at a similar rate, if not slightly better or more favorable rate than what we see nationally. So that's our best lens into how is the customer feeling year-over-year and how often are they visiting, which is why we're very focused, as David mentioned earlier, on share of wallet. I think it would be very difficult for a retailer to stand up and say they're going to buck the traffic trend here in the back half of the year. So we're very focused on share of wallet, and that's where the ownable, winnable strategy really, really is benefiting the company. So again, I'll reiterate, the Food and Consumables piece that I know got a lot of press yesterday is roughly a third of our business, not 60% to 65% to 70%. And I know you know that. But for the benefit of those who might not be familiar, it's a much different dynamic, much different assortment, much greater opportunity to really go after share of wallet or a bigger basket if traffic is going to continue to be a challenge broadly.
David Campisi: I really don't have much -- I'm sorry, go ahead, Dave.
David Mann: No, no, no. Please continue.
David Campisi: Obviously, I don't have much to add to that other than what T.J. just said. I think we all know that the two channels of retail, with brick-and-mortar and e-comm, that there's definitely, the e-comm number has more of a trajectory. So definitely, it is weighing in on traffic to the stores. But what really, I said earlier, is that, what we feel good about is in a very small way, but the excitement about our e-commerce and the learnings that we had is when she shops both channels, that average the basket is significantly higher than when she only shops one channel. So we look at it kind of combining traffic on our website and traffic to the stores. And I think you have to look at both of those channels today in retail and understand that because I don't see anybody out there. I understand one big guy talked about the traffic increases. But overall, you haven't heard very, very few retailers talking about increased footsteps. And I don't really see that changing, David.
David Mann: That's very helpful. For a follow-up, question about your marketing promotional plans into the fourth quarter with the election and sort of the -- all of the television advertising that will come with the election. So how should we think about sort of October, November when all that's going on, that impact on your ability to get customers into your store and how you're going to advertise? Because I think in the past, you've said that, that can distort your business.
David Campisi: Yes, I'll take the first part of that, and I'm sure T.J. will want to add some color to it. We certainly -- and it's a very good question, by the way, David. We certainly have spent numerous hours, if not days, talking about the back half calendar and what the impact of the election is going to have on the first couple of weeks in November. So to back up to October, we feel good about October. We feel -- we really look at our assortments and what's coming through the door, and we're probably more excited about content than we probably have been since I've been here. So we feel like October is a makeable month. We think the first couple of weeks in November are certainly going to be choppy. And we'll be up against some TV. But that -- those dollars have been shifted to postelection and we're confident that we can get the momentum back in the business, regardless of who gets put in the White House. We think we'll be able to -- more than enough with our TV campaign, and it's a lot different approach this year with a lot of item and price call out, more of a call to action. So a different approach than the singing, dancing ladies that we did last year. So a much more aggressive campaign there. And then, obviously, we've got a strong print campaign behind that along with a very powerful email campaign with strong offers. So we feel good about the quarter, in general. We just -- we are planning for a difficult first two weeks in November.
Tim Johnson: I think, first off, I'd say I'm glad we no longer report monthly comps because I do think there's going to be some dislocation in the last couple of weeks of October and the first two weeks in November that's going to cause people to be certainly anxious. As David said, we looked at that proactively. We've moved our television out of those weeks and into the latter part of November and December, and kind of heavied up those weeks where appropriate much more direct call to action. And then again, we will utilize our expansive rewards loyalty program from an email perspective also to be very, very sharp on what promotions or what activity is going on in the store. Again, we don't believe it makes sense for us and probably most people to plan much from a TV perspective end of October, beginning in November because you'll likely get bumped up those spots. So that's how we're approaching it, David.
Operator: We will now hear from Joe Feldman with Telsey Advisory Group.
Joe Feldman: Hi, guys. Good morning. Wanted to go back to Furniture for a second. Had a quick question or a couple of questions actually related to it? Did you -- have you noticed any changes in what's being bought? Meaning, are people starting to step up to like the middle to upper end of the range because of the financing? Or are you seeing like new customers come in maybe like a trade-down customer? Or any other shifts within the spending that you can see what -- that are indicatives of what's that business maybe?
Tim Johnson: Yes, I think that's a great question. The Furniture side of our business, I think, we certainly are seeing the basket grow. We're seeing steady progress on how much is going into the basket through both financing programs, which is very encouraging. But I would take a step back and suggest that as much as anything, some of that might have to do with product. Martha talks a lot in our weekly meetings about some of the good early selling on newness that we have delivering for the back half of the year, both in different styles, in colors, along with price point. So price point is certainly a part of that, Joe. But I think it starts with the product and the newness that's being delivered. And with that comes a better retail because there's a higher expectation from the customers. So that's helping our basket. Clearly, all the work that Nick and his team are doing around sales, training and encouraging that bigger basket and attachment to Soft Home is also helping. So much as with every project we've got going on in the company, it's very collaborative and everybody's contributing to the success.
David Campisi: Yeah. Joe, it's David. I'll just add on to that a little bit to -- what T.J. said about Martha and the passion, I think, that we're seeing in the business. She gets very excited when we meet every Monday to talk about the first time in the company's history that we're actually selling something other than brown in our upholstered department. And so when you visit the stores and you see the gray sofa, it's fantastic and it’s selling very well, much better clip than she or any of her -- the team expected as well as Lisa. The other thing I would tell you that's happening in there is we are now in that mattress-in-a-box business. And the performance of that caught us completely off guard. And it's been really, really fantastic, both online and in store. And we're probably going to run out of inventory until I think we get back in to business in November. So when you kind of look at mattresses and that team, we got a terrific buyer in there, and she's so passionate about what she does. But we have those sort of top of tops, and we just had one in here, I don't know, two weeks ago or so. And one of the things that's very apparent is Big Lots is totally outpacing the industry in all -- with all brands, whether it's Serta, Sealy, Tempur-Pedic and Select Comfort, we're outperforming on a comp basis significantly. So what we're seeing there certainly, we have that opening price point business that separates us from the specialty guys, for sure. But we believe we're continuing to gain market share in that business as well, so we don't always talk about that. It’s not the sexiest part of Furniture, but it's a critically important business that we are starting to become a force out there at retail.
Joe Feldman: That's helpful, guys. Thanks. And then if I could follow up, another product question. I know, you've talked a lot about grocery and Consumables and some of the changes you've made. I guess, I'm wondering, you made a comment, though, that you missed out on some closeout items and -- if I heard it correctly. And I guess, my impression was that over the past couple of years, we've shifted well away from closeouts within grocery and having a much more consistent offering. So could you just help reconcile that? And then one of the little piece of it, any impact of deflation in food in the quarter?
David Campisi: I'll take part of it and I'm sure T.J. will talk a little bit about deflation. But Joe, what I was referring to and by the way, both Food and Consumables are the really only businesses today in the company that we buy closeouts. It's still a third of their business. And so what I'm referring to there is within each category, whether it's canned or pasta or beverages and on and on and on, those are the categories that are critically important. They're high volume, and yes, we have a nice penetration there of probably a third of that NVOs. And then the rest of it is closeout and in-and-outs. But just taking candidly our eye off the ball and not managing those businesses below the line causes us to miss some opportunities. And we're going to get back in business. It's just that simple. But it's still a critical closeout category. That's clearly, as I've said for years, it's really our only differentiator. And Food and Consumables is the players that we buy from -- separate us from our competition because of that closeout penetration. And then, of course, you're right, Joe. I mean, [indiscernible] for not having ketchup and mustard in our assortments, and we've course corrected all that as well. But this is just some misses on some buys, and we'll get it straightened out. As far as the rest of your question, T.J., I don't know if you want to add to it. It's hard to see this. Everybody talking about the deflation and so on. But again, as you know, we're not a traditional grocery Consumables retailer. Everybody's talking about it, obviously. I saw a big article in Kroger talking about it. Candidly, I don't want to use stuff like that as an excuse. And I mean, Kroger's figured out how to have 50 conservative quarters of positive comps, including this last quarter. So we just have to be steadfast in what we do and not worry about things like that.
Tim Johnson: Yes, I think the important part there, Joe, is there's a process in place where the BPARM teams are constantly in store, walking our stores and walking the competition and understanding the pricing environment, and we react accordingly. I haven't heard any significant chatter about needing to change from a pricing perspective. So that suggests to us that we're doing just fine there. And then obviously, if we need to adjust price, we'll adjust price. Value is very important to Jennifer. We can't compromise that. But currently, we're not feeling that same level of concern or angst around pricing or deflation.
Operator: Our next question comes from Matthew Boss with JPMorgan.
Matthew Boss: Hey, guys. So if you broke down this quarter's comp, how did the comp progress throughout the course of 2Q? And just given the commentary on potential election impact, sounds like towards the end of the quarter, is it fair to say you're running above the flat to 2% guide here in August? Just any color would be great.
Tim Johnson: Sure, Matt. I guess, from our perspective, second quarter trends, I'll say, were different than normal, meaning the month of May was actually down to last year, and that's all about the Memorial Day shift. Our strongest comp was the month of June, again all about the Memorial Day shift. And July was a positive comp right in the middle of our range. So no concerns there from a cadence perspective. The month of August is in line with our guidance that we just provided. So we feel comfortable that even though we still have significantly less clearance activity happening in our stores today, in the month of August, we were able to deliver a month-to-date comp that's in the middle of the range. So we feel very good about that. Obviously, as the quarter goes on, clearance from prior season means less. And that's where the early season deliveries of fall product, whether it's in Seasonal, Soft Home or even in Furniture, we're encouraged by those signs. It gives us the confidence that we should be able to deliver our 11th consecutive quarter of positive comps.
Matthew Boss: Great. And then just as we think beyond comps expected 1% to 2% this year, and I know you don't want to get into formal guidance on out years, but I guess, are there any categories you see accelerating from today's growth rates as we just think about food, home, Furniture, Seasonal as we head into next year and beyond?
Tim Johnson: I think -- this is the finance guy talking, but I think I know our strategy and our SPP discussions are squarely focused on growing our ownable businesses and our winnable businesses. And I would suggest to you that our ownable businesses will probably outpace the company. And winnable businesses will probably support the company or maybe be slightly better. Furniture, Seasonal have to continue to grow at a higher clip than what the company is, and that's where we really see the opportunity. Jennifer is telling us consistently, quarter-after-quarter, she likes what we're doing in that space. And we see no reason why that shouldn't continue past fourth quarter and into the next year. That's how we're planning the business.
David Campisi: And just to add to that, Matt, that our approach, as I said before, to how we run the business, is a 180 from the way we used to do it. As T.J. said, we strongly believe in ownable, which is Furniture and Seasonal. But the relationships that we have built and continue to build in Furniture, as an example, we have quarterly meetings with the big brands. And that support that we're getting from them to drive the business is significantly different than it used to be. And we're into the details and we have plans where we used to not have vendor plans, which was sort of a crapshoot. We have a strategy with Serta that says Martha and her team are going to hit a number in the next four years. That is a big number. And we have everybody focused on it, KRA teams assigned to it from store organization knows what their role is to the corporate office here and the distribution centers. And so it's an approach that's aggressive, but very, very much a cross-functional approach to how we buy, how we execute in the stores and how we market the categories. We talk a lot about one of our differentiators in Furniture as you can buy it today and take it home today, and I can't overemphasize what a differentiator that is for Big versus our competition. So that's why we're laser-focused on those ownable. And then when you go over and you look at that seasonal business, whether it's in the spring with lawn and garden and patio, I can't overemphasize the strength that we have there from an execution point of view in store. And on the back half of the year, the way we execute trim in lighting every tree and every animated item is next to the best practice in the retail industry. So that's where we win and she's voting big time. So we will continue to grow those businesses over the next three years. That's part of the '17, '18, '19 SPP that we hope to present to you guys early next year, and very confident that we're going to continue to grow those categories.
Operator: We will now hear from Paul Trussell with Deutsche Bank.
Paul Trussell : Most of my questions have been asked, but just a few quick ones. Perhaps, first, T.J., could you just break down maybe a little bit more detail for us the gross margin gain in this quarter to what extent -- what percent of it perhaps came more from the early sell-through of the Seasonal? And break down some of the buckets for us, so we can better model going forward. Second, on the credit card rollout, it would be very helpful if you can just give any early color on maybe what is in the basket of those that have adopted that card. How does that basket size compare to your average? And then lastly from me would be just any color, David, on just customer feedback with your website. What do they like? How's the shipping experience been? I'll just be interested in feedback there.
Tim Johnson: I'll try to hit the first two real quick. From a gross margin standpoint, we isolated the three key factors for you, sell-through in a lower markdown rate on seasonal, the improvements in IMU and then also the improvements in freight. And while I'm not going to go down to isolating how many basis points came from each one because some of them do cross over into each other, I would just tell you that, obviously, the second two, the improvements in IMU and the improvements in freight, carry over into the back half of the year. The sell-through on spring product, obviously, we're through most of that. We really don't have a lot left in store. So the last two factors certainly carry forward into the back half of the year, which again, gives us confidence that we've got the flexibility to do what we need to do in third quarter and in fourth quarter to drive those positive comps. I guess, the second question on the credit card and size of basket. I think we've mentioned on this call before, an average Furniture basket is in the $200 range. Easy Leasing is probably in the mid-600s at this point, if not slightly higher. The average credit card basket is going to be in that $500 to $600 range as well, again, with our store associates using the same tools from a sales training perspective to try to build that basket. So we're very encouraged. It's another way of trying again to grab wallet share while the customer is in our stores. It's been very well received. The stores are -- there's a lot of momentum behind it at store level. And importantly, for us, the number of applications that we're seeing is nearing, if not exceeding, the goals that we've set for most stores in most regions. So the stores are bought in, and it's off to a good start for us.
David Campisi: Yes, Paul, it's David. So to answer your question on the e-commerce and the website. She clearly loves the ownable businesses. And the business, early on, with seasonal was very strong. And also Soft Home is continuing to gain momentum with the online transactions. And what I would tell you is the experience, she's very happy with that. But we learned early on and -- is that the convenience businesses, she's not interested, not so much. And so what I mean by that is I'll give you an example. When we talk about our mission statement in surprises and every hour, every day, some of the categories that are those businesses that we down trended, whether that was toys or accessories or electronics in the business, a lot of those categories are not top of mind for Jennifer. So an example of a category we put online was sandals. That didn't do so well. So we learned a lot about that because we sold them incredibly well in the stores. That team produced double-digit increases in albeit a smaller business to the total company. But online, not so much. And I always tell our team the reason that is, is when she wakes up in the morning, she doesn't look to us for I'm going to go Big Lots to buy a pair of $8 sandals. It's just that simple. So those kind of transactions happen in brick-and-mortar clearly by them coming in for some other ownable or winnable category and then they happen to see it and they buy it. So that was a big learn for us. And as far as the learnings on shipping, we have incredible amount of detail. And obviously, when we're not really doing anything and then we don't have an ad, the transactions aren't very high. And when we start to use promotional shipping, along with promotional offers, the thing doubles and triples. And so the lift we get is all the way up to five times. And so I would tell you that Lisa and T.J., Andy, Carlos and a few other folks and Carlos' team that are involved in the fulfillment side of the business and shipping, they meet. I think that it's every Tuesday, I believe, right? Is that correct?
Tim Johnson: Tuesday for lunch.
David Campisi: Tuesday for lunch. They meet every Tuesday, that team, and they discuss what we're going to do for shipping for the next week and what type of offers we want. And so it's very, very carefully managed by a very talented team of executives. And I have all the confidence in them they'll continue to tweak that. But she clearly responds to whether it's free shipping or other types of shipping offers, along with promo, including like a buy more, save more. And so again, we're crawling, and we will continue to do that, so that it's not material to the total business. But we are learning a lot, and we're very excited about it. We think there's a lot of positives when we look at -- we actually talked a lot about this with the board yesterday. There's a lot of positive things we're learning. Again, I mentioned earlier that the value we're getting from the customer, that Jennifer who's shopping both online and brick-and-mortar, T.J., I don't remember the exact number, but it's a bigger basket by far.
Tim Johnson: Yes, and it's -- again it's very, very early, Paul. But as David mentioned, we spent a significant amount of time on this yesterday with the board when they were here. And they walked away very positive about some of the early learnings. I think one of our board members put it best, and I'll steal a phrase from her is that we're -- through our online efforts, we're creating a sense of community or providing a way for us to enhance the brand while also trying to do some commerce at the same time. And I think that's very, very well put. We're learning a lot about her. She clearly wants a deal. Whether it's a shipping promotion or a merchandise promotions, Jennifer is looking for deals and we've had some great deals on the website. She loves to search. She's searching all the time on our website. Whether we carry the product for sale or not, some of the most often searched categories like, for instance, we've already had a significant amount of search on fireplaces and it's the middle of August, and she's out on our website looking for fireplaces. In fact, I think Andy mentioned the other day, Andy Stein, not Andy Regrut who you guys know, but Andy Stein, not Andy Regrut, who you guys know, but Andy Stein, our Chief Customer Officer, told us the other day we've already sold a handful of Christmas trees off the website. And it's the middle of August. So clearly, she's planning ahead. She's looking for value. She's looking for a great deal. And we've had some very early good successes on the website. Very similar to retail operations, we sold out a fair amount of our seasonal product too early. We limited our volume opportunity in second and early third quarter because we didn't have as much seasonal product as she wanted to buy. That's a good thing, backing pick up that volume next year, for sure, the average order value. That surprised us to the upside, that's a positive. As David mentioned, we have a smaller group that meets every week and I've kind of joked it's my favorite meeting of the week. I think it's my favorite meeting. I don't know if it's a favorite for everyone else in the meeting because we ask a lot of questions because we're trying to learn about how to go -- best go about this go forward. So a lot of good, early successes, Paul, both from an operational standpoint and how we ship product and how we -- the processes we have back in the distribution center. That's a great learning in and of itself, so we're doing all this ourselves. We elected early on not to use a third party to ship product. Well, I'm certainly glad we made that decision because as David mentioned, some of the convenience businesses Jennifer is not as interested in buying online. Well, that was easy for us to move product out of our e-comm DC into the retail DC. I say easy. It was a lot of work for Carlos and his team. But we were able to do it very efficiently rather than if we had a third party helping us. So a lot of really key learnings, Paul. It's still very early. I think to a certain extent, our crawling has served us very, very well. We've got a fence around this. And to a certain extent, our crawling has limited some of our volume opportunities, and that's okay. We've learned from it, and we'll pick them up next year. So hopefully, that helps you.
Operator: Our next question comes from Jeff Stein with Northcoast Research.
Jeff Stein: Thanks, guys. Couple of real quick ones for you. First of all, can you talk about the approval rate on the private-label card? I know that in the latest quarter, Alliance Data Systems called out some increase in delinquencies and I'm wondering if that may have affected the 40% to 45% approval rates you were seeing on the test stores? And secondly, and David mentioned the bed in a box. I think it's kind of a neat product and I saw it in a couple of stores. And I'm wondering, your partner vendor there looks like it's a start-up company. Can they fulfill? Will they be able to fulfill for you? Do you have an exclusive with them? Or are you looking at taking on other vendors as well on that category? Thanks.
David Campisi: So I'll answer the bed in the box piece and then I'll turn over the approval rate to T.J. Jeff, it is a young company, but very well financed. And it's not an exclusive program with us. But I would tell you that I met with the CEO here back in July and had a terrific conversation with him. And it's well capitalized, and they ship the product. And obviously, the price points are very compelling. We don't see any significant issue from that standpoint. But I would tell you that we're also looking at opportunities with some of our other branded vendors. Probably late fourth quarter potential opportunity with the team. There's nothing firm there yet, but -- so I don't want to come out and tell you which brand we're focused on. But you could probably figure that out based on the knowledge you have of the business. So it won't be just one. But at those price points, it's been incredibly well received. And we will continue to work with the current vendor. And he's a very solid guy and a very solid company, so no concerns there. And again, some of the bigger brands are working to get themselves in that business. Big Lots will be first in line.
Tim Johnson: Yeah. The second part of your question Jeff, the approval rate. We continue to see in the 40s even last week, even month-to-date, so we're not necessarily seeing any change from that perspective. We monitor it every week. We're monitoring again applications and approval by store. And we're not seeing any kind of reason for us to be concerned from an approval standpoint with the new private-label credit card.
Operator: We will now hear from Laura Champine with Roe Equity Research.
Laura Champine: Good morning and congratulations on a really strong gross margin quarter. I know that the company has worked a lot on consistency, particularly on the comp line and not so much on the gross margin line it seems. But what should we be able to expect long term in terms of gross margin expansion? And T.J., maybe a way to get there would be to tell us how much the inventory issue and the excess full price selling helped in Q2.
Tim Johnson: Yes. Thanks for the question, Laura. Again, the three key reasons why margins improved so much in the second quarter, we've talked about a couple of times and the markdown or the higher sell-through was certainly one of those. Again, I'm not going to quantify each of the three. I would just suggest that clearly, the IMU lives on. We've delivered the product for fall or we have our imports pointed at us. We have a very good understanding what the IMU is going to look like. We have a very good understanding what our freight contracts look like and that's, again, what gives us the confidence in the back half of the year to forecast gross margin expansion. Now obviously, as we go into 2017, we're going to have to figure out a way to comp those numbers or maintain or grow those numbers. But that's what we get paid to do. And I'm comfortable that looking at least our spring plan that we're well on our way to maintaining the strength in margin here. So that's a very good thing for us, Laura. Again, I want to emphasize one thing, and that is that the rate of improvement we're seeing in gross margin is not about price. We're not raising prices to get there. We have to provide great value to Jennifer. This is all about activity that, candidly, she never sees what we pay for product, she doesn't see our freight rates. Obviously, we've continued to be very promotional during the quarter. So she's not seeing any real change in terms of that great price-value relationship that she's always come to expect from us. We're doing a better job, did a better job in the quarter, doing a better job year-to-date managing the overall cost that's really driving the margin rate improvement.
Laura Champine: So maybe another way to tackle it would be it sounds like you expect a little bit of a step-down in terms of rate improvement in Q4, although you've got an opportunity given the comparisons to comp better in Q4. So assuming that you are projecting a step-down in gross margin rate improvement in Q4, what would be driving that?
Tim Johnson: I guess, we had a pretty solid fourth quarter last year, Laura, in terms of gross margin performance and overall P&L performance. So I think clearly, we're very encouraged and we had a very strong trim business last year. And we're now up against that. So we feel very good about what we have to offer. But there's probably a little bit of caution there from a margin rate standpoint. I guess, the other point I would mention is particularly on the freight side and the import business that we are in, we're at our peak right now in terms of receiving import goods and, obviously, receiving some of the freight benefit. This is kind of like the Super Bowl for our distribution centers and our planning and allocation team in terms of receiving and getting products out to the stores. So to the extent that we're flowing more import product right now, obviously, we've got a better opportunity for freight benefit in third maybe than fourth. But again, we're not managing to a rate. I want to re-emphasize here. We're not managing to a rate. We're managing to what is the right overall cost of the business, when does the product need to be there, how do we need to flow it, so that Jennifer will be happy when she comes into the store. So I guess, that's about all I can say at this point.
Operator: Our final question comes from Shaun Cross at Barclays.
Shaun Cross: Good morning and thank you for taking my questions. Could you discuss the attachment rate between Soft Home and Furniture, sort of where is this now and where do you think this can go over time?
Tim Johnson: Hey, Shaun, it's T.J. Thanks for the question. I guess, it wouldn't be our preference to get into kind of sharing those kind of metrics. I think when you and Karen were here, we talked a lot about the opportunity in Soft Home and attaching the Furniture so much to the extent that we actually have -- it's a group of people working on just that project within the Furniture KRA or within the KRA process. I would just say that it's at a low number today based on our understanding and what's possible out there. And the team is very focused on growing that. Again, it's an easy attachment through Easy Leasing. Certainly, an easy attachment opportunity through the Big Lots credit card program. Stores understand it. Our team is focused on it. We're looking at different testing ideas in the back half of the year. I'll just leave it at it. It's a focus and a big opportunity, we think, go forward, not just for third or fourth quarter, but for the foreseeable future as part of the next three-year plan.
Shaun Cross: Okay. And then for my follow-up. It seems that e-commerce maybe doing a bit better than you expected. So do you think the sales and operating loss figures you gave earlier in the year for this business are still in the right ranges?
Tim Johnson: Shaun, I would think about it this way. I would think, there's been a lot of good early learnings. From an overall volume standpoint, we're actually trending a little below our internal plan. We're trending below our internal plan. Please understand it's a start-up business, so we put a plan in place based on some estimates. And right now, we're trending below that. From an operating perspective and kind of -- what kind of an impact is it having on the P&L, obviously, you can see from our forward guidance, we really didn't change the back half of the year. We maintained the back half of the year. So any kind of a shortfall in volume is not significant enough to change our outlook for fall. I think I'll reiterate what I said earlier. We have very good governance around the e-commerce business and process, both from an inventory standpoint, from a margin standpoint, from a cost standpoint. It's not a distraction for our brick-and-mortar team today. There's a separate group of e-commerce associates focused on it who are working extremely hard. They're doing a great job. We've learned a tremendous amount. And we're still very excited about the opportunity for Jennifer. She asked for us to go online and sell products. She told us we needed to be online. We're reacting to what she wants from us. We think it's a way to enhance our brand. Certainly, it's a way to encourage that community on the website. The new website looks great in terms of how clean it is and how easy it is to navigate. So there's a really lot of good things happening in that space. That's the excitement that we have, Shaun. Again, the overall impact to the P&L is small. I mean, we gave you early guidance on that. We're trailing that by a little bit. But obviously, it's not changing our forward view of the fall season or our forward view of how important e-commerce is to Jennifer.
Andy Regrut: Okay, thank you, everyone. Matt, will you please close the call with replay instructions?